Operator: Good afternoon and welcome to the Worthington Industriessecond quarter earnings results conference call. (Operator Instructions) Iwould now like to introduce your speaker, Ms. AllisonSanders, Director of Investor Relations. Ms. Sanders, you may begin.
AllisonM. Sanders: Thank you, Hope, and good afternoon,everyone. Welcome to our quarterly earnings conference call. Before we beginour presentation, I want to remind everyone that certain statements made inthis conference call are forward-looking statements within the meaning of thePrivate Securities Litigation Reform Act of 1995. These statements are subjectto risks and uncertainties which could cause actual results to differ fromthose suggested. Please refer to the press release for more detail on factorsthat could cause actual results to differ materially. For those who are interested in listening to this conferencecall again, a replay will be available on the home page of our website atwww.worthingtonindustries.com. With me in the room today are John McConnell, Chairman andChief Executive Officer; John Christie, President and Chief Financial Officer; GeorgeStoe, Executive Vice President and Chief Operating Officer; and Richard Welch,Controller. John McConnell will begin. John.
John P. McConnell: Allison, thank you. Good afternoon. Thank you for joining usto review our second quarter results. And while I am certainly not pleased withthe results we reported this morning, I have to tell you I am very pleased withwhat we have accomplished during the quarter, which will produce much improvedresults for the second half of fiscal 2008. We will provide some more detail throughout the call onthose things but first, some high level comments on metal framing. Over the past six months, we identified some real issueswell beyond “market conditions” that were driving our poor performance.Further, we developed and have implemented a plan to turn the organizationaround. I am confident in the plan and the pace of implementation to date. In the process, I am also happy to tell you we found manyexcellent people inside the metal framing organization who quickly engaged andembraced the need for change. There are many aspects to turning this companyaround -- better meeting our customers’ expectations, improving our utilizationof our assets, and eliminating costs are all encompassed in various elements ofthe turnaround plan and importantly, all are getting traction. I am not declaring victory by any means, which of coursewould be unwise to declare under any circumstance for any company, but many elementsof this turnaround plan have yet to be played out and they are being executedin a market that is very competitive and may experience some lessening demandfrom the current high levels in the months ahead. What I am saying to you is our metal framing business is todayin a much strong position than its second quarter performance represents.You’ll see improvements in this segment’s results going forward and thereforein Worthington’s total performance. Now I am going to turn this call over to John Christie toreview our financial performance for the quarter.
John S. Christie: Thank you, John. Good afternoon, everybody. For our secondquarter of fiscal 2008, which ended on November 30, 2007, we reported earningsper share of $0.18. Excluding $0.03 per share in plant closure relatedrestructuring charges, most of which were non-cash, earnings per share were$0.21 compared to last year’s $0.31. Second quarter sales of $714 million were down 2% from the$729 million during the same period last year. The sales decrease was due tolower average selling prices in all three business segments, which more thanoffset volume increases in each. The gross profit margin fell from 11.5% to 9.8% as a resultof narrower spreads between raw material costs and selling prices in the threebusiness segments. SG&A expense increased $1 million due to higherdepreciation expense associated with our new ERP system. As a percentage ofsales, SG&A expense was 7.7% during the current quarter compared to 7.3% inthe year-ago period. Despite the ongoing impact of higher depreciation expense,SG&A expense is down $10 million on a year-to-date basis and is expected tofall further in coming quarters as our cost reduction initiatives areimplemented. As a result of the lower gross margin, quarterly operatingincome declined from $31 million in the year-ago quarter to $15 million,excluding the impact of restructuring charges. Operating income does not include $15 million in equityincome from what are now nine unconsolidated joint ventures. While the majorityof total equity income comes from our WAVE joint venture, which had recordsecond quarter earnings, equity income was relatively flat as earnings from ournew Mexican joint venture were offset by a decline in earnings at TWB andstart-up expenses at two other newer joint ventures. As a group, the joint ventures generated $177 million insales during the three months corresponding with our second quarter and paid us$15 million in dividends, favorably impacting cash flow. Miscellaneous expense increased $2 million, due primarily tothe minority interest we pay to our partner for our consolidated joint venture,Spartan Steel Coating. Spartan’s results were much better this year compared tolast year when the volumes were reduced while we increased capacity at thegalvanizing facility. Income tax expense fell $8 million to reduced earnings and agreater mix of foreign earnings, which are taxed at lower rates. Our estimatedeffective tax rate for the balance of fiscal 2008 is 28%, excluding auditresolutions that occur in the normal course of events. Now to the balance sheet -- total net debt was $338 millionand our debt-to-capitalization ratio was 27.9% at quarter end. Net debt wasdown over $110 million from the year-ago period, largely due to reduced workingcapital needs. Debt rose $62 million from year-end, primarily as a result ofour investments in three new joint ventures during the quarter. Although we did not repurchase stock during the quarter, wehave repurchased 4.2 million shares year-to-date. We have an authorization torepurchase up to an additional 11.3 million shares and view repurchases as anattractive use of our cash flow. Inventory levels are reasonable at 64 days and range from 61days in steel processing to 67 days in metal framing and pressure cylinders.Inventories are down approximately 15% on both a dollars and unit basis fromlast year. Capital spending excluding acquisitions was $10 million compared todepreciation of $16 million. Despite lower capital expenditures this quarter,we expect that CapEx, as well as depreciation and amortization expense, willapproximate $60 million for the year. Now let’s talks specifically about second quarter resultsfor each of our three business segments, beginning with process steel, whichrepresents 48% of revenues this quarter. Steel processing’s quarterly salesfell 8% to $344 million from $375 million in last year’s second quarter.Although volumes were up 6%, the tolling mix went from 45% last year to 52%this year. Tolling sales do not include steel raw material costs and thus areinherently much less than direct sales. This significant change in mixnegatively impacted top line sales and the spread between selling prices andmaterial cost. Operating income for steel processing fell to $10 millionfrom $18 million last year and the operating margin from 4.7% to 3%. A portionof the decline is due to precision specialty metals, our stainless steelprocessing facility. The cyclical issues currently facing the stainless industryare well publicized and include a rapid decline in pricing from record highs, adecline in demand as customers wait for pricing to drop, and a higher pricedinventory. Turning now to our metal framing segment, which represented26% of revenues this quarter, second quarter sales of $182 million were down 4%from last year’s November quarter when sales were $190 million. Average sellingprices fell 7% as the metal framing sector of the construction industry remainschallenged by increased competition and reduced demand. We did increase volumes by 4% compared to the year ago timeperiod but the mix of products sold was less favorable. Volumes increased inmany of the lower margin product lines and decreased significantly in highermargin lines, many of which serve the residential housing sector, which has beedepressed. As a result, the spread between average selling prices andmaterial cost fell 17% compared to the year ago quarter and we had an operatingloss of $12 million excluding restructuring charges. Finally, in our pressure cylinder segment, which represented19% of total company revenues, sales for the quarter were up 11% or $13 millionfrom last year, partially due to improved volumes in most of our product linesand partially due to the strength in foreign currency relative to the U.S.dollar at our European and Canadian operations. Improved steel high pressure cylinder volumes resulting froma capacity expansion at our Austrian facility were substantially offset by areduction in average selling prices there. Capacity increases by European highpressure cylinder producers and increased imports into Europe from the U.S. andChina drove the pricing decline. Operating income fell $3 million from last year’s recordsecond quarter results to $17 million and the operating margin declined to 13%. Pressure cylinders continues to perform at well abovehistoric levels as the challenges in mature markets and stiff competition areaddressed. Our focus on cost containment initiatives, higher margin business,and selected geographic and capacity expansions continued to generate solidreturns for us in this business segment. Now George Stoe will continue with operations. George.
George P. Stoe: Thank you, John. I’ll speak to each business from anoperations viewpoint. I am going to focus first on Dietrich Metal Framing. JohnRoberts has done an excellent job of leading this business during a difficulttime. In just a little over three months, John has taken decisive actions andput together a turnaround team at Dietrich to move as quickly as possible toreturn it to profitability. John has made some important changes in his leadership teamand has worked to consolidated under-performing facilities. By the end of thefiscal year, Dietrich will have consolidated five facilities, reducing theirfootprint and increasing their operational efficiencies. John also announced this month the closing of Dietrich’sPittsburgh corporate office. He and his team will be moving to Columbus to ourcorporate headquarters by the end of our fiscal year. Not only is it a costsaving move in terms of headcount, office space, and eliminating redundantcorporate functions, but having his team here to interact with the executiveteam, staff functions like purchasing, and other business segments will bebeneficial on many fronts. Dietrich announced a price increase in mid-October, whichwas followed by our competition. We have also announced an additional priceincrease for the beginning of January. We have confidence that these increaseswill be absorbed in the marketplace because the steel mills are faced withdramatically escalating costs as coking coal, iron ore, and transportationcosts are seeing significant increases. As a result, the mills are very firm intheir pricing going into 2008. Dietrich’s turnaround team has developed a plan to reducetheir operating platform, reduce material and operating costs, increase thetransactional market price, and improve customer service. Because of the positive changes in process, we believeDietrich had its low point in the most recent quarter and will continue toimprove with each month of the new calendar year. While their actions are notevident in today’s results, we do believe they will have impact on the quartersto come. An aggressive sales effort in steel processing, whichincludes a focus on new accounts, has been successful. Not only were volumes upin the quarter just ended, but we have received customer commitments forcalendar 2008 that represent a 10% increase in new business. To protectmargins, Mark Russell is focusing his team on driving costs out of theoperations, especially in steel purchasing and logistics and in workforcereductions [in the salary group]. We announced two joint ventures last quarter and while onehas begun operations, the other will soon follow. In the important market ofMexico, our Serviacero Worthington JV is developing new customers and providingsteel processing services for many of our North American customers who have relocatedthere. Serviacero is well-known and respected in Mexico and we feel fortunateto have found the right partner to make that venture successful with theopportunity for future growth. The Canessa/Worthington JV is our first steel processingoperation outside of North America. Our partner, the Magneto Group of Italy, ishighly regarded and the facility is located adjacent to the U.S. steel complexin Slovakia. The class one steel processing capability is a great competitiveadvantage, since there are no other class one processors in central Europe.This is new business start-up and we expect operations to ramp up after thefirst of the year and reach the targeted run-rate by the start of our fiscalyear. Our pressure cylinder segment continues to perform well.Much of that success is due to an intense focus for many years on being the lowcost producer. This effort requires ongoing initiatives to drive outoperational costs by improving efficiencies and manufacturing systems. Harry[Gossedes] and his team at cylinders are focused on growing existing productlines like balloon time and air brake tanks, and are scouring the globe foradditional growth opportunities. As you may recall, we had an initiative a few years ago toenter the air brake tank market in Europe. That business has progressed welland we have expanded our volume each year since we converted our plant in theCzech Republic to add these capabilities. This led us to opportunities to growsimilar business here in North America. We have now expanded one of our NorthAmerican facilities to add air brake tank capabilities and we will beginshipping this new product line in early 2008. In our successful balloon time helium product, we expect tocontinue our uninterrupted string of yearly double-digit volume growth. We havenow expanded our reach with this product line and have seen a very successfulentry into the European market with the balloon time brand. We’ve spoken before about our efforts to centralize andleverage the purchase of steel across all of our businesses. We have made greatstrides in the last several months in identifying our purchasing and deliveryrequirements in each business and each location and at the same time, instrengthening our relationship with the mills. We have also done a good job on the logistics front to keepfreight costs manageable in a rising freight environment by improvingefficiencies on delivery. Our effort in becoming trusted partners with our millsuppliers is essential for our long-term success. Our ability to offerconsistent volumes is key to centralized sourcing. It allows us to concentratespecific tonnages to the mills best able to meet our needs as well as ourcustomers. We are starting to see good results from this focus. Ibelieve you’ll see the evidence of that effort in our inventory levels of eachbusiness. You’ve heard me talk in the past about our safety program,Safe Works, and how pleased we’ve been with our results. We had two goals inmind from the start -- change the behavior of everyone within our organizationand to create a mindset of zero incidents as an achievable result. We continueto make progress on this front and are seeing an impact on the bottom line. Over the last three years, we have saved more than $2million in workers’ compensation claims. We have 15 Worthington locations thatare injury free with zero recordables and zero serious incidents since thestart of our fiscal year. Through the philosophy of our company, we want ouremployees to be safe both on and off the job and we think Safe Works is leadingus to that goal. I’ll turn it back now to John P. McConnell.
John P. McConnell: Thank you, George. I’ll be brief. Continued improvement inmetal framing and to a lesser extent, steel processing, is important to ourfuture and both are making good strides to improve results for the remaininghalf of our fiscal year. In addition, we are very pleased with our continuedadvancement of our two internal start-ups, Worthington Integrated BuildingSystems, our mid-rise and residential framing company, and Steelpac, our metalpackaging company. Our building systems company continued profitable trendswith both divisions this quarter. The residential group, concentrating onmilitary projects, has expanded operations on two mainland bases, Fort Campbelland Fort Knox. In the mid-rise division, our sharpened marketing effortshave resulted in doubling our quotation activity and backlog in the hospitalityindustry. We believe the hospitality industry will continue its positive growthin new prototypes over the next several years and our products are extremelywell-positioned. Steelpac is continuing to generate much interest around thesteel palette which offers a needed alternative and is 100% recyclable solutionto moving goods. Our first automated line remains on track for productdeliveries in February. At this point, we’d be happy to invite your questions.
AllisonM. Sanders: Hope, will you set up the questions?
Operator: (Operator Instructions) Sal Tharani, you may ask yourquestion and please state your company name.
Sal Tharani -Goldman Sachs: A quick question on your comment in the press release on theEuropean business on pressure cylinder, that you are seeing some increasedproduction at competitors. Can you elaborate a little bit on that? Are thesenew entrants or are these people who are already there?
John P. McConnell: I think it’s a combination of both, Sal, but I’m going tolet George expand on that for you.
George P. Stoe: Primarily, there is a competitor of ours in Poland that isadding capacity from what they have done before. They’ve been coming on withthat capacity slower. Because of the weakness of the dollar, we’ve also seensome competition coming from here in North America with people trying to shiphigh pressure cylinders into Europe to take advantage of the current marketconditions.
Sal Tharani -Goldman Sachs: Are you guys exporting anything?
George P. Stoe: Yes, we are.
Sal Tharani -Goldman Sachs: And then next thing, you mentioned that mills are very firmin raising the prices early next year, and I know you always mention that yourcontract business is always back-to-back. Are you having any difficulty inpassing those price increases to the contracts?
George P. Stoe: We are not.
Sal Tharani -Goldman Sachs: So it’s -- I mean, your primary contractors are -- I mean,counter-parties are -- and they are accepting those?
John P. McConnell: Are you asking me is the price increases, are contractualcommitments already made going to be broken on either side?
Sal Tharani -Goldman Sachs: No, I’m asking for the new contracts, for rollovers.
John P. McConnell: Those we have not resigned yet.
Sal Tharani -Goldman Sachs: Okay, but do you expect them to be acceptable? Do you thinkthere’s a -- you mentioned the mills are very firm that they are going to raiseprices. Do you think that your customers will be able to accept that?
John P. McConnell: I think the information out in the public sector aboutwhat’s going on in the steel business, their clarity in what they are going todo is all there, so yes, I think they will understand the situation. Nobodyreally likes rising prices but I do think the industry has prepared and pavedthe pathway for these increases that are coming.
Sal Tharani -Goldman Sachs: Okay, great. Thank you very much.
Operator: Our next question is from Bob Richards.
Bob Richards -Longbow Research: The metal framing business quarter over quarter, I see salesprice degrading just slightly, $11.38 to $11.19, but [coking coal] price, thisis just on an AMM index, kind of came up about -- I don’t know, $30 or so, $25.How confident are you going forward into ’08 in realizing a greater price forthese metal framing products because I certainly see maybe margin squeeze ifyou don’t realize that.
John P. McConnell: We are very confident.
Bob Richards -Longbow Research: Fair enough. Thanks very much.
Operator: Timothy Hayes, you may ask your question and pleasestate your company name.
Tim Hayes - Davenport& Company: A couple of questions on metal framing; just on the priceincreases there were announced in mid-October, there was a 10% increase. Yousaid a portion of that was accepted by customers. How much are we talking thatstuck?
John P. McConnell: It’s always a continuing saga, so when you announce a priceincrease, as you all know, the price doesn’t change the next day. We have torun out commitments that were made prior to that date on buildings that wereout in the future, so throughout the rest of the quarter, throughout theremaining month-and-a-half, you saw the price increase continue to grow andtake form. At the end of November, you’d find a number that was closerto the 10 than closer to a 5, and we expect that will continue to grow as thisone goes on and another one is coming in January.
Tim Hayes - Davenport& Company: The one in January, what’s the percentage on that?
John P. McConnell: It’s also 10.
Tim Hayes - Davenport& Company: And the mix continued to deteriorate. I think that’s thesecond, at least the second quarter in a row. How much could this deteriorationcontinue, or is it to the point where housing has hit such a weak point thatthe mix is about as bad as it can get?
John P. McConnell: I would say the mix is about as bad as it is going to get.We are not, when we talk about improving results, we are not factoring in anypick-up on the high margin products that go into residential. So we arediscounting any improvement there but we don’t expect it to get worse.
Tim Hayes - Davenport& Company: My final question is on the cost savings, some of thespecifics. In the first quarter release, you detailed out the $20 million invery good detail, where and when it was going to hopefully be achieved. Anyupdate on that? Because we were looking for at least $2 million cost savings inmetal framing in the second quarter, maybe some others, some more savings inSG&A and more in metal framing. I just wanted to get an update -- how muchwas achieved in Q2, where do we stand on your $20 million that you’ve targeted,et cetera?
John S. Christie: Really, in SG&A, which true SG&A, we took out about$1.7 million to $2 million. However, we had increases -- that would becorporate SG&A and the Dietrich division and other things. We also had someoffsets to that which would be freight, utilities, et cetera. But as far asday-to-day operations of normal administrative SG&A, we probably took outabout $1.5 million in this quarter.
Tim Hayes - Davenport& Company: Okay, so that -- so basically $1.5 million has been achievedwith a $20 million -- $20 million that you’ve taken steps that you know you aregoing to get over the next several quarters, correct?
John S. Christie: Well, a lot of -- I think we spelled out last time that theywould be broken into plant closure expenses, various items like that. As JohnMcConnell said, we are on track with that and those savings will be recognized.The remaining part of 2008, ’09, and the first part of 2010.
Tim Hayes - Davenport& Company: Okay, and then my final question, I guess on the metalframing that hopefully the second quarter is the worst. My only concern thereas we head into the winter months and some seasonality, is that -- isseasonality a factor and have you accounted for that? Why wouldn’t the Februaryquarter be actually maybe a little worse than the second quarter?
John P. McConnell: We absolutely factored that in. When we look at nextquarter, we’re starting in a hole. December is always a bad month in thisdivision and always will be. You lose probably over half the month with peopleshutting down and sometimes weather gets in the way. However, starting in January is when we talk aboutmonth-over-month improvement in ’08. That we see that things will continue toopen back up volume wise and continue to build throughout the year. Obviouslyas you get into spring and summer, the volume rates ought to continue to comeup. There’s been a lot of mix news on where this segment ofconstruction goes on the commercial side. One of the most recent data points welooked at on the architectural building index would indicate that there iscertainly a lot being put in the pipeline that would say this will not slowdown. As prices rise, going back to other things we’ve talkedabout here, as mills increase their price and as we have to increase ours, youcould always get some slow down in what’s in that pipeline. And even if itfalls off some, that’s the way we are thinking of things today, that it mayslow down somewhat but we all have to remember that they are relatively stronglevels today.
Tim Hayes - Davenport& Company: Very good. Thank you.
Operator: Michelle Applebaum, you may ask your question and pleasestate your company name.
Michelle Applebaum -Michelle Applebaum Research: I was going to ask you, when we spoke about a year ago aboutsome of the challenges that the processing business has had the last few yearsin a steel recovery, I thought you made some good points about the basic issueis your supply base is consolidated but your competitive situation in theprocessing business is not and your customers are relatively consolidated andunder pressure. And you said that there were probably two things that couldmake a big difference for you. One was that if you were able to improve yourpenetration into transplant markets and then the other was if there were someconsolidation on the processor side. So in the last year, we have notnecessarily seen either and in fact, we’ve seen conditions deteriorate in yourcustomer base and most probably conditions in your supplier base tighten interms of the reduction in imports, perhaps, and the economics of imports, andfurther consolidation in terms of the mills domestically, particularly Stelco. So I’m just wondering, when you say that you think that theprices that you are getting in these new contracts for next year could bepassed through, I’m wondering number one, why and what’s changed? And numbertwo, just wondering what can be done to structurally improve performance inthat business?
John P. McConnell: We’ll have to get you a smaller filing cabinet if you’rekeeping notes from two years ago.
Michelle Applebaum -Michelle Applebaum Research: No, that was last year.
John P. McConnell: Okay, okay.
Michelle Applebaum -Michelle Applebaum Research: And I just moved to newer, bigger offices, so I can saveeven more.
John P. McConnell: Well, I’m glad you are on the call because I understoodearlier you might not make it, so a pleasant surprise. You’re right. I mean,certainly the broad dynamics of this business remain troubling. I don’t thinkit’s beyond our ability to impact it in a positive way, so first when you thinkback to Mr. Stoe’s comments earlier, one of the very -- one of the things weare very pleased with in Mark Russell and the sales group and steel in the lastsix -- four to six months, is that we have increased volumes in a fairlysignificant way for the first time in many years. We have been very aggressive in pricing to do so. In planningin this company, our first priority is to get volume running back through theveins of this company. As you know, it combines up and matches up with a veryaggressive cost reduction effort we have going on here that we believe we canrebolster any margin deterioration that occurred on an individual transactionbasis. The volume itself primarily offsets in gross margin dollarsany erosion in margin as it currently stands, so when you ask me about -- and Ihope I wasn’t misleading earlier, we will continue to be aggressive in ourpricing stances as we take on new contracts and new opportunities for volume. Ibelieve the increase will go through in some form. It may not be full form butwe’ll be very thoughtful about where and why we take any haircuts from whereour margin might currently be from the previous contracts or previous year withany particular customer. So we are very focused on volume and we are focused onreducing cost and therefore reducing any margin pressure that has been there inthis segment of the industry. The dynamics certainly apply margin pressurehere. There’s no question about it. Transplants, we continue to make in-roads in small ways butcontinue to keep contacts open and some business coming our way. It was kind ofinteresting that not in the steel company but through other things that we aredoing working with transplants, you would have found two transplant companiesin the top 25 in the second quarter. That was -- that’s a very positive thingfor us and a way that we continue to bring steel into the mix that we are doinga number of different tooling jobs now that relate to transplants that we hadnot been doing a year ago. So little by little, we keep [whittling] away with that,keep our name up front, putting the pressure of the full face of the company onthat issue, trying to get our name better known and them more comfortable withus as a producer.
Michelle Applebaum -Michelle Applebaum Research: Okay. That’s a great answer and you obviously are keepingyour files from a year ago also, because it’s consistent with your answer then.So then things are being worked from the ground up -- is there any way to seeany consolidation in this sector or is that just going to have to take care ofitself?
John P. McConnell: That’s a good question. I think it’s largely going to haveto take care of itself. I mean, we -- you also -- people listening to whatGeorge said, we are really focused, as we should be, I believe, in I think theword was scouring the planet for ways to grow our cylinder business. There aremany opportunities there. We have [fine] margins, it’s operating very well, sothat’s our focus for growth, is that vehicle, as well as WAVE. You know, we kind of look at steel and metal framing rightnow as you kind of have to earn the right to grow at this point, which does notmean there would never be an acquisition made by us in this space if we felt itwould help us stabilize that business.
Michelle Applebaum -Michelle Applebaum Research: And would there be any opportunities for allegiances orcross-share ownership or something with -- you know, in the past, we’ve seenJapanese companies typically don’t acquire steel companies here but they makean equity investment or create a joint venture that 20 years later turns intoan acquisition. Are you seeing interest from either traders or mills? I’veheard the Japanese would like to be doing more here in steel, that could helpWorthington particularly with the transplants but then also potentially withsupply? Is there anything like that that you would contemplate?
John P. McConnell: Well, you know, again, I’ve agreed with the fact that thissegment of our business is dynamically challenged, has been for well over 10years, so there -- and secondly, I would add that we have a clear record ofsuccessfully operating in a joint venture environment, so we would certainlyentertain anything that we thought was a good alternative for our long-termability to create shareholder value in this business segment. It is not an active part of our platform at the moment butit has certainly been discussed and will always be something to consider.
Michelle Applebaum -Michelle Applebaum Research: Okay, terrific. Thanks.
Operator: Bob Richards, you may ask your question and please stateyour company name.
Bob Richards -Longbow Research: John, this is kind of along those same lines that was askedjust recently here, but I appreciate that you were able to increase your volumesequentially quarter over quarter and I believe you said you went out and triedto build up your book a little bit. Was that more -- can you give us -- wasthat contract business or tolling business or traditional mix? Can you givesome color on that?
John P. McConnell: It was primarily all direct business. We have some tollingbusiness but that was not counted in that number that George spoke of, of a 10%year-over-year rise. It was not all necessarily contract business though, but itwas primarily out of our larger customer base that we were focused and probablypredominantly mixed with contract business.
Bob Richards -Longbow Research: Okay, thank you very much and best of luck.
Operator: Sal Tharani, you may ask your question.
Sal Tharani -Goldman Sachs: Another question I have is on the tolling business. You saidyou have seen some increase in the tolling business and that I believe ismostly through the [Arrow] companies. Is this indicative that things are goodinto [Arrow] business? Or is it that you are getting share, market share, or isit that the nature of the business is changing where [Arrow] companies aredirectly buying from the mills and using service centers for tolling purposesonly, rather than buying through the service centers?
John P. McConnell: I think largely it is working the relationships we have withthe mills and as we look at the change we’ve made in our purchase departmentand how we approach this subject with everybody, and they are just doing a verygood job at acquiring business. I don’t know if George or John has anything toadd to that.
George P. Stoe: No, I think John was right on target. I think that we’veover the last probably two years really made a strong effort towards improvingthe relationships we have with our mill suppliers and I think some of that hasled to us getting some additional opportunities we might not have gotten in thepast.
Sal Tharani -Goldman Sachs: So this is not the business you would have probably gottenas a contract directly with the end user and you sort of -- they decided to gothrough the tolling --
John P. McConnell: I’m not sure we can give you the perfect answer on that butI believe the answer is it is largely business that was in the tollingenvironment that we have gotten to come our way.
Sal Tharani -Goldman Sachs: Okay, great. Thank you very much, guys.
Operator: Our next question is from Leo Larkin. You may ask yourquestion and please state your company name.
Leo Larkin - Standard& Poor’s Equity Research: Could you remind us what CapEx and DD&A will be for thisyear? And also for fiscal ’09, if that’s possible?
John S. Christie: The $60 million is [inaudible] DD&A and CapEx, and itwill probably be -- without acquisition, it will probably be very close to thatnext year.
Leo Larkin - Standard& Poor’s Equity Research: Thank you.
Operator: Muhammed Rusi, you may ask your question and please stateyour company name.
Muhammed Rusi -Braumann Capital: Just a quick question on the metal framing division, youguys did mention that you are seeing increased competition. I guess in theconstruction environment on the residential side, it’s been impacted severelyon the negative side and people are -- there is sort of news out there thatcommercial might be seeing a little bit of a fall. The new competition, couldyou give a little bit more color in terms of where you are seeing increasedcompetition from?
John P. McConnell: If I start answering the question you didn’t ask, because Igot a little confused in there, jump in and tell me so. We have had certainly in the direct reduction of studs,increasing competition that really started back in ’04, let’s call it. Therewas a lot of money in the industry as steel prices were going up rapidly and anumber of smaller companies serving very local markets sprung up across the country. I believe the factors, and I haven’t gone back to thesenumbers for a while, but were in the 20% to 60% increase in competitivefootprint in various regions we compete in across the country. The industry, the commercial space itself in almost everyfacet from our distributors to framers that work directly in line with ourproduct, all are facing significantly increased competition as people who dosimilar things, primarily in residential markets, are out looking for workanywhere they can find it. So that’s another side where if you are referencingthat, we’ve had -- we say an increase in competition in the full channeldelivering this product. Did that help?
Muhammed Rusi -Braumann Capital: Yeah, no, that was perfect. Thank you.
Operator: Our next question comes from Timothy Hayes. You may ask yourquestion.
Tim Hayes - Davenport& Company: Yes, just a follow-up on -- you were buying back stock inyour first quarter. I think if my math is right, it was around $21 a share.Given where the stock is today, would free cash flow, the highest priority offree cash flow go into buy back shares at this point?
John P. McConnell: Much of last quarter wasn’t so much price point, which we’venever really talked about, but as you would expect, we are always evaluatingthe opportunities we have that may call for capital. So buying back shares is always a high option on our list.Some of the things that would have required significant amounts of capital thatwe were looking at during the last quarter certainly have come to a point thatwe know they won’t require nearly as much as we might have thought, if we areable to get some of those opportunities over the goal line. So that will, until something else comes up, certainlyelevate our view of share buy-back.
Tim Hayes - Davenport& Company: And just to clarify, some of those other opportunities arepossible acquisitions that you are looking at?
John P. McConnell: That would be correct.
Tim Hayes - Davenport& Company: All right, very good. Thank you.
Operator: I am showing no further questions. (Operator Instructions) Iam showing no further questions at this time.
John P. McConnell: Thank you, Operator. In closing, let me just say that thenext six months are very critically important to us. I have told you that wewill generate stronger earnings in our third and fourth quarter. I am confidentin our plans to do so and we will. Thank you very much.
Operator: This concludes today’s conference. Thank you.